Operator: Good day and welcome to Clearfield Fiscal Fourth Quarter and Full Year 2023 Conference Call. All participants will be in listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Greg McNiff, Investor Relations for Clearfield. Please go ahead.
Greg McNiff: Thank you. Joining me on the call today are Cheri Beranek, Clearfield’s President and CEO; Dan Herzog, Clearfield’s CFO; and Kevin Morgan, Clearfield’s CMO. As a reminder, the slides in this presentation are controlled by you, the listener. Please advance forward through the presentation as the speaker presents their remarks. Please note that during this call, management will be making remarks regarding future events and the future financial performance of the company. These remarks constitute forward-looking statements for purposes of the safe harbor provisions of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. It is important to also note that the company undertakes no obligation to update such statements except as required by law. The company cautions you to consider risk factors that could cause actual results to differ materially from those in the forward-looking statements contained in today’s press release, earnings presentation, and on this conference call. The Risk Factors section in Clearfield’s most recent Form 10-K filing with the Securities and Exchange Commission and its subsequent filings on Form 10-Q provide a description of these risks. They are also summarized on Slide 2 of the earnings presentation. With that, I would like to turn the call over to Clearfield’s President and CEO, Cheri Beranek. Cheri?
Cheri Beranek: Good afternoon, everyone, and thank you for joining us today to discuss Clearfield’s results for the fiscal fourth quarter and full year 2023. We also intend to provide an update on our business and current market trends. A new year is a time for reflection, and as I reflect on the last 12 months, the pendulum swings of our market has been extreme. As we started fiscal year 2023, demand in the industry seemed insatiable as service providers emerging from the pandemic focused on ensuring they had the materials necessary to deploy equipment as their labor constraints eased. Unfortunately, the reality of building a network is hard, and navigating the numerous obstacles coming out of the pandemic have been challenging for our customers and the industry. Yet the difficulty toward the end of this period has put the lens on what Clearfield does best to reduce the cost of fiber deployment by making the process as efficient as possible. In addition to the need to reduce service provider inventory levels across the market, industry analysts are reporting that they expect the torrid pace of deployment to slow down as some operators reduce their homes past goals and extend fiber expansion and overbuild into 2024. They cite many socioeconomic reasons for this reduction in pace, including managing their CapEx budgets and higher interest rates. Yet, and importantly, no one is forecasting a reduction in the end user demand for high-speed broadband. Our fourth quarter of fiscal 2023 results reflect the current state of the industry and are consistent with the commentary that we have provided throughout the year. Total net sales for the fourth quarter were $49.7 million, which includes a $10.6 million contribution from Nestor Cables. Dan will discuss our financial results for this quarter and fiscal year in more detail shortly. But first, I want to provide an update on the disbursement of government funding programs, specifically the Broadband Equity Access and Deployment Program, known as BEAD. Currently, the states are looking through the BEAD guidelines and drafting their proposals to the National Telecommunications and Information Administration, the NTIA. We expect these proposals to be finalized by year-end with service provider award announcements in the first part of next year. Based on these assumptions, we expect to see increased demand and to recognize initial revenue for BEAD-related programs sometime late in the second half of calendar 2024. However, fiscal year 2025 is the point in which we believe BEAD will make a meaningful contribution to our revenue. We expect BEAD to expand our total available market as fiber connections between homes will be longer in the underserved and unserved grow environments that BEAD targets and which align with our community broadband market. We believe these longer connections will equate to a higher cost per passing and per connected home, driving a larger revenue opportunity for Clearfields over the long-term. Based on this expected funding cycle, coupled with the ongoing inventory overhang impacting the industry, we expect the first half of fiscal 2024 to remain challenging. Additionally, the industry typically undergoes a slowdown in the winter months. For these reasons, we expect revenue to seasonally soften. Accordingly, we expect the next several quarters results and year-over-year comparisons to be significantly impacted by these dynamics. I now want to discuss our strategy for revenue growth when demand returns. First, while we continue to adjust to demand levels, we are committed to designing products to address our customers’ most significant pain points and reduce the amount of skilled labor required to install our hardware. As a reminder, labor makes up approximately 70% of the total build cost and is a gaining factor in deployment. We recently announced two new products designed to reduce deployment time and lower the total cost of deployment. After achieving initial success of more than $1 million in revenue from a single regional service provider with a 10-inch pedestal, we recently announced a smaller variant, a 6-inch version of the CraftSmart FiberFirst Pedestal. These pedestals provide a secure ground access point ideal for service providers looking to deploy into rural areas. Another new product, the FieldSmart FiberFlex 1700 Active Cabinets, which is an all-in-one design capable of integrating fiber, power, and active equipments, is also tailored to fit into any outdoor environment and its smaller size is ideal for rural projects. Both the CraftSmart FiberFirst Pedestal and the FieldSmart FiberFlex Active Cabinets are ideal for broadband service providers looking to deploy in rural areas as efficiently and economically as possible. Both the FiberFirst Pedestal and the FiberFlex Active Cabinets are generating revenue today and we collect another step toward our goal of providing our customers with end-to-end solutions. We are working to ensure these and all other Clearfield product offerings will be BABA compliant by the end of calendar year 2024. For some additional insights and what we are seeing in the market and a significant long-term opportunity, I would like to welcome our Chief Marketing Officer, Kevin Morgan, to the call. Kevin?
Kevin Morgan: Thank you, Cheri. We are now in the middle of a historic fiber build-out with more ahead of us than behind us. As many of you know, the $42.5 billion BEAD program is now underway with initial disbursements to the states and territories. As illustrated on Slide 5, industry forecasts from RVA indicate the next five-year period will see up to 12 million additional homes passed with fiber because of federal funding initiatives. Our internal expectation is that this additional build-out may extend to 2029 and beyond because of delays in awards and variability associated with rural fiber builds. These programs will bring high-speed Internet access to unserved and underserved areas that will boost the total homes passed in the next five years in the U.S. market to over 57 million homes. As Cheri noted, building a fiber network is hard work. Clearfield remains focused on developing products that reduce both the time to deploy as well as the amount of skill needed to connect homes to the fiber network. The industry has rewarded Clearfield’s approach to product development as the company’s revenue has grown at a pace faster than the market. This slide illustrates the market performance in five-year periods set against Clearfield’s revenue growth over the same period. Clearfield’s focus on helping service providers improve their time to revenue is our driving value proposition and why we believe in the long-term market opportunity for the company. Coming back to Clearfield’s performance, I’d now like to pass the call over to our CFO, Dan Herzog, who will walk us through our financial results for the fiscal fourth quarter and full-year 2023.
Dan Herzog: Thank you, Kevin, and good afternoon, everyone. Please turn to Slide 7 to look at our fiscal fourth quarter and full-year 2023 results in more detail. Consolidated net sales in the fourth quarter of fiscal 2023 were $49.7 million, a 48% decrease from $95 million in the same year ago period. This figure includes $39.1 million of organic net sales of port Clearfield and a $10.6 million contribution from Nestor Cables. The sequential decrease in Nestor Cables revenue over the previous quarters is primarily due to seasonality. While Nestor Cables exhibited strong year-over-year top line growth, we remain focused on reducing costs and improving margins at Nestor, by investing in more efficient manufacturing equipment and introducing higher margin plug-and-play connectivity products from Clearfield and higher margin specialty cables, Nestor can produce and sell to the European market. The year-over-year decrease in total net sales was due to the ongoing industry dynamics in our Clearfield segment that Cheri described earlier, that our peers in the marketplace have reported over the last several months. Order backlog declined 65% to $57.3 million on September 30, 2023 from $164.9 million on September 30, 2022 and $74.7 million on June 30, 2023. We continue to collaborate with our customers to align their open orders with their deployment schedules. As Cheri noted, our lead times are now less than four weeks across most product lines. We expect backlog to become less of an indicator for future sales as most orders will be fulfilled within the quarter they are received. Due to the timing of our year end, we don’t have visibility yet to the calendar year 2024 outlook from our regional service providers and MSO customers, who normally book on a more scheduled basis. We continue to work closely with our customers to monitor their inventory levels and long-term demand. Turning to Slide 8, I will now review net sales by our key markets. Sales to our primary market community broadband comprised 46% of our net sales in the fourth quarter fiscal 2023. In Q4, we generated net sales of approximately $22.8 million in community broadband, down 48% from the same period last year. For fiscal 2023, our community broadband market net sales totaled approximately $112 million which was down 12% from the previous year. As a reminder, we have broken out our Community Broadband customer segment to disclose revenue from the traditional smaller providers and from ILX with footprints of 500,000 subscribers and above which we refer to as large regional service providers. Net sales for our fourth quarter in our large regional service providers market was $6.3 million, comprising 13% of our total net sales and declined by approximately 64% in the fourth quarter of this fiscal year versus the prior year fourth quarter. Net sales in this market were down 26% in fiscal 2023 as compared to the prior fiscal year. Our MSO business comprised 11% of our net sales in the fourth quarter. Net sales declined 75% in the fourth quarter of this fiscal year versus the prior year fourth quarter and were down 5% for fiscal 2023 as compared to the prior fiscal year. Net sales in our National Carrier market for the fourth quarter accounted for 5% of total net sales and decreased approximately $500,000, or 18% in the fourth quarter of this fiscal year versus the prior year fourth quarter. For fiscal 2023, net sales in our National Carrier market were down 17% as compared to the prior fiscal year. Finally, net sales in our international market were $12.4 million and comprise 25% of total net sales in the fourth quarter. Net sales increased 32% in the fourth quarter of fiscal 2023 compared to the same period last year and were up 226% for fiscal 2023 due to the acquisition of Nestor Cables, which contributed $10.6 million toward this segment in the fourth quarter of fiscal year 2023. As a reminder, we acquired Nestor in July of 2022, which was the middle of our fourth quarter of fiscal 2022. Turning to Slide 9, consolidated net sales for the full year fiscal 2023 decreased a little less than 1% to $269 million from $271 million in fiscal 2022. Clearfield organic net sales were $226 million down 14% year-over-year, and Nestor’s contribution was $43 million for the fiscal year. The decrease in total net sales was due to the industry dynamics we discussed earlier. As detailed on Slide 10, gross profit margin in the fourth quarter declined to 24.1% of net sales from 39.5% of net sales in the same year ago quarter. Our gross margin continues to be impacted by unabsorbed overhead in our manufacturing facilities due to lower levels of demand. The Company continues to adjust its production capacity to align to current demand and market conditions. Turning to the next slide, gross profit margin for the full year fiscal 2023 declined to 31.7% of net sales from 41.7% of net sales in fiscal 2022. As Cheri highlighted, we expect revenue in the first half of fiscal 2024 to be impacted by the continued inventory digestion as well as normal seasonality, which will also impact our gross margin performance. As we enter the build season in the second half of fiscal 2024, we anticipate an uptick in demand which should lead to an improvement in gross margin as capacity utilization increases. We will continue to work to uphold price discipline as well, while also ensuring the preservation of our long term customer relationships. Moving forward, we will remain thoughtful in how we address these costs with our customers. Now please turn to Slide 12. Operating expenses for the fourth quarter were $10.3 million, which decreased from $15.3 million in the same year ago quarter. This decrease is primarily the result of lower performance-based compensation accruals year-over-year, as well as reduced legal and professional fees related to the acquisition of Nestor Cables that occurred in last year’s fourth quarter. As a percentage of net sales, operating expenses for the fourth quarter were 21%, up from 16% in the same year ago period due to lower sales volumes. As detailed on the next slide, operating expenses for the full year fiscal 2023 were $48 million, down slightly from $49 million in fiscal year 2022. As a percentage of net sales, operating expenses for fiscal 2023 were 18%, unchanged from 18% in fiscal year 2022. We continue to monitor our sales and marketing activities and align our variable costs to ensure that our return on investment is strong. Turning to Slide 14, net income in the fourth quarter decreased $2.7 million from $17 million in the same year ago period and was down from $5.2 million in the third quarter of fiscal 2023. As a percentage of net sales, net income for the fourth quarter was 5%, down from 17% in the same year ago period, and down from 9% in third quarter of fiscal 2023. Turning to the next slide, net income for the full year fiscal 2023 decreased 34% to $32.5 million from $49.4 million in fiscal 2022. As a percentage of net sales net income for fiscal 2023 was 6%, down from 18% in fiscal year 2022. As illustrated on Slide 16, our balance sheet remained strong with $174 million of cash, short term and long term investments and just $2 million of debt. We had $1.8 million in capital expenditures in the quarter, mainly to support our manufacturing operations. Our inventory balance decreased from $105 million in the June quarter to $98 million in the fourth quarter, reflecting lower stocking levels to align with reduced demand driven by the industry dynamics we have discussed. We expect inventory balance to continue to level off in fiscal 2024. Please turn to Slide 17. Due to limited visibility related to the reasons we’ve discussed, we will provide quarterly rather than annual guidance at this time. We expect the first quarter of fiscal 2024 net sales to be in a range of $28 million to $32 million. We expect to generate a net loss per share in the range of $0.36 to $0.44. This range does not reflect the potential impact of any share repurchases that may be completed in the quarter. While we are not providing guidance beyond the first quarter, we would expect normal seasonality to continue thereafter into the next build season. Our strong balance sheet ensures that we are well-positioned to effectively compete for larger customer opportunities and to pursue strategic opportunities to enhance our market and product portfolio. Likewise, our strong cash balance positions us to manage the business for the long-term. We are also announcing that our Board of Directors has increased our share buyback authorization from $22 million to $40 million, leaving approximately $33 million available for repurchases. This strategic move reflects the Board’s strong conviction that our current share price is undervalued relative to our long-term opportunity. This increase in our buyback authorization is a clear and proactive commitment on our part as we believe in the enduring strength and potential of our company. That concludes my prepared remarks for our fiscal fourth quarter and full year 2023. We appreciate the support of our investors as we continue to work to drive shareholder value. I will now turn the call back over to Cheri.
Cheri Beranek: Thanks for the financial update, Dan. With a strong balance sheet, the company is in good position to weather the dynamics that are affecting our market over the short-term. We are taking a long-term approach with strategic intention, positioning the company to meet the significant demand ahead. Turning to Slide 19. I would now like to provide an update on our multi-year strategic plan, which we have labeled LEAP. LEAP is our roadmap for how we intend to capitalize on the significant opportunities ahead when industry demand begins to recover. I previously mentioned our new product offerings. Now I’d like to emphasize a few additional initiatives that we are actively pursuing. First, we are recruiting expertise in new markets, especially in Europe where we intend to leverage our Nestor platform to cross-sell connectivity products into Europe. We are also investing in our Estonia facility for Microduct and connectivity manufacturing. Second, our ongoing operational initiatives continue to drive cost reductions and to improve our gross profit once business conditions improve. And third, we are updating our ERP systems to improve operational efficiency and to unify company systems. As I said at the beginning of our call, today, a new year comes with many reflections of the past. I am proud of the execution that Clearfield has demonstrated since the start of the pandemic. Since our inception, Clearfield has strategically grown the organization while delivering consistent profitability. To achieve this scale, Clearfield made substantial infrastructure investments, resulting in under absorbed overhead that will negatively affect our earnings power over the next few quarters. However, we remain confident that the future growth in fiber is absolute, and Clearfield stands ready to deliver on that demand as our market returns to its normalized pace. And with that, we will open the call to your questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Your first question comes from Jason Schmidt with Lake Street. Please go ahead.
Jason Schmidt: Hey, guys, thanks for taking my questions. Understanding sort of the normal seasonal pattern, sort of the softness in the first half of this year due to weather. Can you just remind us if December traditionally is the trough quarter for the year? Just given what you’ve seen the past couple of years and kind of seasonality getting thrown out the window. How should we think about kind of December potentially being the low point?
Cheri Beranek: Yes. Historically, actually the first and second quarter are usually pretty similar in that we start out strong in October and that we’re still building them, and then slowdown for the holidays and the budget season, and then slow back bring – come back up for the spring. So the bigger issue isn’t the weather in first quarter, but it’s how quickly we get to spring and second quarter that could influence how much stronger second quarter might be than first.
Jason Schmidt: Okay. That’s really helpful. And then have you transitioned all the Nestor product lines over to your Mexico facility at this point?
Cheri Beranek: Yes. We are manufacturing all but one or two of the fibers in the Mexican facility, and that movement continues, so that we can do it really on a strategic kind of case by case basis. Part of that is related to inventory, in that we have some inventory of the products that we are not yet producing that we would have transferred into the Mexican plant. So it’s being done as inventory conditions dictate.
Jason Schmidt: Got you. And then just the last one from me, and I’ll jump back into queue. OpEx took a step back in the September quarter. Dan, how should we think about OpEx trending through fiscal 2024?
Dan Herzog: Yes. So if you were to look at our historical OpEx, this quarter is a little bit lower, obviously, but we did have some savings that took place. And if you were to look at more, our Q3 of this past year, Q1, Q2 had a little bit of a benefit in there. If you look at our Q3, it’s probably somewhere closer to that. And on a run rate basis, it’s probably going to be pretty steady going forward from there.
Jason Schmidt: Okay. Perfect. Thanks a lot, guys.
Cheri Beranek: Thank you.
Operator: Next question is Scott Searle with Roth Capital Partners. Please go ahead.
Scott Searle: Hey, good afternoon. Thanks for taking my questions. Hey Cheri, I apologize if this was covered earlier, but in terms of the outlook to the December quarter, I was wondering if you could provide a little bit more color in the specific categories of customers where you’re seeing that weakness. And then, Dan, as it relates to the gross margins, obviously, you take a utilization hit, and I think that’s embedded in your guidance there. But it goes pretty low the gross margins in the December quarter. How quickly does that start to come back, as you would expect utilization to start to pick up in the second, third, fourth fiscal quarters in 2024?
Dan Herzog: Yes. I’ll go to the gross margin right away in that, yes, you’re right. There are some definite volume and capacity issues that the volume really has a huge effect on us. So it is low. Q2, we would expect to potentially be slightly better than that. And then we really start to pick up in Q3 and Q4. And so we would exit – we may exit Q4 in a much more – we’d be making up that labor capacity, excess capacity, and fixed overhead coverage much stronger. But it starts to really – it starts to get better at Q3 and Q4, Scott.
Scott Searle: Okay.
Cheri Beranek: Yes. In regard to where we’re seeing the weakness, it’s the large regionals. The large regionals have kind of a combination of pulling back from previous numbers and that you’ve seen some reductions in plans based upon their availability to hit numbers. And then secondarily at another carrier, they’ve taken a step back based upon realigning their balance sheet and kind of taking a step back on CapEx as…
Dan Herzog: CapEx, yes.
Cheri Beranek: Thank you. CapEx as their financial plans kind of come in order. It seems to be temporary and more of a migratory issue as they figure out really kind of where they’re going to go with their BEAD dollars and whether or not they’re going to take any ACAM dollars for any particular market. But community broadband, the bigger carrier, the larger carrier, the more money is an issue, which is where the large regionals play. The community broadband players, I would say, they’re stronger, less of a weakness. But the difference for today versus a year ago is it’s no longer a race. I say a year ago, because of all of the uncertainty and all of the big guys fighting against the little guys and the MSOs fighting against the large regionals. It was a race to see who was going to get there first, and as a result, that’s where the inventory buildup came. Today, the cadence seems practical and prudent. And eventually, as the large carriers get underway, we’ll be back to a more normalized rhythm, a more normalized cadence.
Scott Searle: Cheri, maybe just to follow-up, what is that normalized run rate when you’re looking at deployments versus working through inventory absorption at your customers? And I guess, as part of that, it sounds like ACAM is factoring into the calculus as well here in terms of delays. Ultimately, I would think that’s a good thing, as is BEAD. But is that a primary culprit here in terms of customers pausing as they figure out ACAM or BEAD?
Cheri Beranek: Right. It’s definitely a pause in the smaller carrier. So in community broadband. As some of our peers who we work very closely with have outlined in their calls in the last few weeks. The expansion and the continuation of ACAM is a fantastic thing for our marketplace in that it provides another almost $20 billion into our market or 50% more than what was originally thought was going to come from the government. But in most situations, it is an either or decision. And as a result, companies need to very carefully make a decision as to what they’re going to do to assure that they don’t get cut off by making a mistake. And I think there’s enough time in the BEAD programs and in the BEAD calendar to allow these service providers to do that. Back to the normalized cadence, from the time that you see an engineering design come into play until the time that you see first shovel can be as short as three to four months, but it’s more often closer to a year. And in our world, we work really closely with those engineering design companies. They’re still extremely bullish about what BEAD is going to do for us. And so I would watch the activity of those engineering companies next year to really show how strong the second half of 2024 and into 2025 is going to be for fiber construction.
Scott Searle: Great. Thank you.
Operator: Next question Ryan Koontz with Needham and Company. Please go ahead.
Ryan Koontz: Thanks for the question. You made a comment about the rural market, with the longer loops being a higher TAM market for you, I think of that as being having a bigger impact on the actual fiber cable itself on homes past as opposed to connectivity. Maybe you can expand on why the connectivity TAM is larger. Is that just because the density per unit is lower and you need to spend more on a fewer number of homes?
Cheri Beranek: No, it actually goes back to the fiber, as you indicated, in that most of the association with connecting a home, the largest percentage of the cost is the actual fiber cable itself. And so if your home is 500 miles, yes – 500 feet from your terminal box versus a mile from the terminal box, it heavily influences what the cost of your drop cable is going to be. And so the further out those individual houses are, the more opportunity there is for both drop cable and terminal devices. Again, you might see multiple terminals being strung and feeding off of each other in order to get to that end, which is another reason why the total available market is larger. In general, we’re working to – I think that’s one of the things that sometimes gets overlooked, is Clearfield is investing strongly to increase our total available market during this low, in that we came out into the marketplace last year with a range of pedestals. It’s pretty common knowledge we’re going to come out with a vault, which is going to be able to be used with every cabinet that we’re going to – that we’ll be deploying. And Clearfield has historically been a company associated with passing homes, not as much connecting homes. And so we have a very strong initiative about using our market presence to get more of the homes connected to be using Clearfield equipment. And you saw sea change being announced last spring, which is undergoing field trials over the course of this first year, which we believe will represent additional revenue opportunities and additional TAM for us next year and beyond.
Ryan Koontz: Got it. That’s helpful, Cheri. Thank you. And just a quick follow-up on the cable market, any difference there between – that’s obviously the numbers have been a little depressed there. Is that similar inventory issues? Are you seeing any changes in architecture pauses in programs? Maybe you can kind of make any broad comments about cable.
Cheri Beranek: I think the cable market is for those individuals, those individual companies who are committed to fiber to the home. There’s been no change in that commitment, and they continue to build and being committed to the new architectures. For those companies, the larger companies who have retained their commitment to the doctor’s position, I haven’t seen a change. But what we have been involved with is a higher number of hub collapses and other types of areas in which they’re taking fiber deeper into their networks. And as a result, have a need for both passive and active cabinets to serve into that space.
Ryan Koontz: All right. Thanks, Cheri.
Operator: Next question Greg Mesniaeff with WestPark. Please go ahead.
Greg Mesniaeff: Yes, thank you. And you mentioned earlier in your prepared remarks that lead times have shrunk to less than four weeks and that the majority of the business going forward will be book and ship business. How has that impacted, and how do you expect it will impact pricing?
Cheri Beranek: Clearfield’s business before the pandemic was always book and ship, and we had some of the best lead times in the industry and, in fact, have really worked very closely with our customers to assure that we could align the equipment that they needed at the time that we could ship it. I think from a pricing standpoint, in regard to customer pricing, there’s always, in a time of oversupply, there is a price pressure on the manufacturer in that the service providers are commanding. They’re the buyers, they’re in the strongest position. But in general, we are working toward what we call price discipline in that we will not lose market share to for – on good business. But we also will ensure that should there be inappropriate pricing in the marketplace that is not sustainable that we won’t be tempted to follow.
Greg Mesniaeff: Great. And as a – just a companion to that question. As the BEAD program unfolds, how do you expect that program to impact pricing? Is it going to be pretty much no impact or there will be some changes in willingness to pay things like that?
Cheri Beranek: Oh, there’ll be the – the BEAD program by definition of the BABA initiative, which is Build America, is going to increase the cost of materials. I mean, there’s no if ands or buts about that in that any product that is labor intensive to build, such as the termination of fiber connectivity. If we bring that back into the U.S. market, it takes the same amount of labor. It’s just that the labor costs a lot more in the U.S. And so most of my peers, when we meet at a trade show have been talking about the fact that we’ll have two SKUs of the same product, just one made in America and one made in a lower cost labor market. And they’ll have two different costs, two different selling prices.
Greg Mesniaeff: Got it. Thank you.
Operator: [Operator Instructions] Next question comes from Tim Savageaux with Northland Capital Markets. Please go ahead.
Tim Savageaux: Hi, good afternoon. First question was on international revenue. And I know there’s some seasonality there. Typically, what are you expecting for Q1 out of international or what’s implied in your guidance?
Cheri Beranek: It’s cold in Finland and very dark. So the – and the go a good percentage, 70% of their businesses is, a lot business for European is in Finland. So the guidance for first quarter is slightly less than…
Dan Herzog: Oh, six to seven, yes. I’d say six to seven or six to eight roughly in that range right now.
Tim Savageaux: Is that an absolute dollar or percentage? Oh, dollars.
Dan Herzog: Absolute dollar.
Tim Savageaux: Yes. No, sorry. All right. That’s super helpful. And that’s kind of where I had you. So looking at the – I mean, it’s interesting to note that your community broadband was up sequentially in September.
Dan Herzog: Yes. And it seems, given the magnitude of decline, I mean, regionals already doesn’t have much farther to go to zero. So no, I assume that the primary driver of the decline, kind of has to be community broadband in that regard. And maybe, I don’t know whether it is inventory or pausing in front of BEAD, but I just want to make sure I’m looking at that right, because I know, I mean unless you expect probably go to pretty much…
Cheri Beranek: Yes. There’s a – I’m sorry, go ahead.
Dan Herzog: No, please.
Cheri Beranek: Yes. What I think absolutely, there’s community broadband in there. But I think one of the things that is important to note on community broadband and a size of the pie that you’re looking at is any, mix from one customer to the next can significantly change from one quarter to the next. And so, it’s important to look at the overall business as a trend line and not as a single quarter. And so it’s more of a standpoint if we put – kind of if we put community broadband into the last six months then large regional carrier in the last six months to get a better picture. I mean, the community broadband space tends to be much most of the [indiscernible] are in the space between the Dakotas and Texas. And so certainly weather affects that space much more than we might see some of our cable providers who are more on the coast. But I wouldn’t indicate it from a market trend standpoint. I think, much more seasonal based than it is market trend based.
Tim Savageaux: Yes, that makes sense. And in terms of kind of the flip side or the positive side of seasonality, it sounds like you might expect that into heading into the calendar second quarter of next year. And Dan, it seems like, I know your gross margins are dipping down looks like in the, maybe low to mid-teens here with the under absorption, but is it reasonable to look at a – kind of a break even revenue levels somewhere in the $50 million quarter range plus or minus, depending on how gross margins are at?
Dan Herzog: Yes, I’d put that around the – somewhere around the $50 million mark, and some of it’ll be product mix pricing and everything like that, but that’s – you’re not too far off. It could be slightly lower than your $55 million and so on.
Tim Savageaux: Got it. And Cheri, as we go through, I mean, it seems like this BEAD process is happening pretty much in real time with the initial proposals having been submitted by the states and that unlocking some funding. And Cheri, you may have commented this already, I came on late, but, do you think we’re in a position when it warms up to also have the BEAD process warming up, or should that be a little bit behind the seasonality?
Cheri Beranek: I think BEAD is going to be behind the seasonality because we’re – I think we’ll start to see engineering companies get their money, but like I talked about in regard to the shovel ready initiatives, at best case we’re six months behind engineering for shovel ready. And the engineering dollars will start next summer. So it’ll be a seasonal warming for us. And then the BEAD numbers should come behind that and help us then over the course of the winter. As a result, I think the recovery is going to be messy. And messy not in a bad way, just in a way in which it’s going to be difficult to probably see some of the leading indicators from the generalized marketplace because you’re going to have so many competing data points on it. But the recovery will absolutely come into play. It’s just a matter of timing.
Tim Savageaux: Got it. Thanks very much.
Operator: Thank you. I will now turn the call over to Cheri for closing comments.
Cheri Beranek: Thank you for the opportunity to speak with you today. This is an amazing time in the marketplace. As I talked about earlier, the pendulum swing from demand that appeared insatiable to demand today, which is much more measured and unpredictable. But Clearfield over the last 15 years has been, I think a leader in execution. This is a company that is pragmatic, prudent, and strategic in our outlook and we could not be more disciplined to what we are looking to make happen. As we outlined in the materials, there is more market in front of us than we have behind us. And more importantly, the market that is in front of us is our market, the rural market, the underserved market, and the place in which Clearfield was designed and built to fulfill. And so we are patient, but we are also in a standpoint of being tenacious. And we look forward to delivering shareholder value in the future.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time, and thank you for your participation.